Operator: Welcome to the First Quarter 2017 Gildan Activewear Earnings Conference Call. My name is Danielle and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Sophie Argiriou, Vice President of Investor Communications. Sophie, you may begin.
Sophie Argiriou - Gildan Activewear, Inc.: Thank you, Danielle. Good afternoon, everyone, and thank you for joining us. Earlier, we issued a press release announcing our earnings results for the first quarter of 2017. We also issued our interim shareholder report containing management's discussion and analysis and consolidated financial statements. These documents will be filed with the Canadian securities and regulatory authorities and the U.S. Securities Commission and are available on our website at www.gildan.com. Joining me on the call today, we have Glenn Chamandy, our President and Chief Executive Officer; and Rhodri Harries, Gildan's Executive Vice President and Chief Financial and Administrative Officer. The conference call will start with Rhod taking you through the results for the quarter and our business outlook for 2017, after which a Q&A session will follow. Before we begin, let me remind you that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties and other factors, which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company's filings with the U.S. Securities and Exchange Commission and Canadian securities regulatory authorities that may affect the company's future results. And with that, I will turn the call over to Rhod.
Rhodri J. Harries - Gildan Activewear, Inc.: Good afternoon, everyone, and thank you for joining the call. Earlier today, we announced a record first quarter, reporting adjusted diluted EPS of $0.39 and sales of $665 million, in line with our expectations. Sales grew 12% and adjusted operating margins expanded 200 basis points, driving strong EPS growth of approximately 39% for the quarter. And with strong earnings growth, focused working capital management and lower CapEx, we generated just over $40 million of free cash flow in the quarter, up $100 million compared with the first quarter last year. Operationally, we continue to make good progress on our strategic initiatives, capturing Printwear growth in the fashion basics and performance categories, gaining share in retail, improving our operating profitability in Branded Apparel, and progressing well on the integration of our acquisitions, which will enhance our growth and competitive positioning over the long-term. So, despite an environment where we continue to see mixed market conditions, including the impact of store closings, we believe our performance during the first quarter positions us well to deliver on our previous guidance for the full year. Turning to the Printwear segment. We generated sales of $446 million in the quarter, up approximately 14% over last year. This increase reflected the benefit of the Alstyle acquisition and a small contribution from American Apparel, which together drove approximately $40 million of sales growth, as well as organic sales growth driven by higher net selling prices and favorable product mix, partly offset by the negative impact of foreign currency exchange. Highlights for this business for the quarter included strong double-digit POS growth in fashion basics and continued momentum in international markets, in particular, very strong growth in Asia. Printwear operating income of approximately $106 million in the quarter increased 24% while operating margins expanded by 210 basis points over the same period last year, driven by the impact of net – impact of pricing, manufacturing cost savings and raw material costs, partly offset by unfavorable foreign exchange and SG&A. In the Branded Apparel segment, sales in the quarter totaled approximately $220 million, up 9.2% from $201 million last year. The Peds acquisition contributed approximately $21 million in sales during the quarter, while we exited about $7 million on private label programs, in line with the guidance we provided when we reported in February. Gildan branded product continued to perform well, while Gold Toe continue to deal with softness in the department stores and national chains channel. We were particularly pleased with our market share performance for Gildan branded men's underwear, which was 11.2% for the March quarter, up 270 basis points from last year. The total measured market as per NPD showed a slight decrease for the quarter in the men's underwear category. However, Gildan branded men's underwear significantly outpaced the market with point of sales growth up 30% for the quarter. We were also pleased that the Gildan brand in the men's sock category continued to maintain its leading position during the quarter with market share up 22.6%. Operating income in Branded Apparel in the quarter was approximately $19 million, up 25% from a year ago. Branded Apparel operating margins were 8.4%, up 100 basis points over the same quarter last year. The operating margin improvement was driven both by SG&A leverage and, as in Printwear, the favorable net impact of pricing, manufacturing cost savings and raw material costs, partly offset by mix. Moving to Gildan's free cash flow performance. We generated $41 million of free cash flow in the quarter, while during the same period last year we consumed approximately $58 million of cash to support working capital requirements and capital expenditures. On CapEx during the first quarter, we spent $25 million primarily investing in our new Rio Nance 6 textile facility, our Bangladesh facility, and in garment dyeing and distribution investments, which will continue to be the main area of focus for this year. As we indicated when we initiated guidance in February, our capital investment requirements for the year are expected to be lower than last year even though we continue to expand capacity across our manufacturing system to support growth. Moving to capital return. We repurchased 3.5 million common shares under our NCIB program during the first quarter and another 1.9 million common shares in April, bringing year-to-date repurchases to 5.3 million common shares. We are making good progress on our total plan program for this year, which cover repurchases of 11.5 million shares. After closing the American Apparel acquisition this quarter, net debt at the end of the period stood at $713 million or 1.3 times adjusted EBITDA, well within our target leverage range. We are progressing well with integration activities related to our acquisitions, including the recently completed American Apparel acquisition. We continue to be excited about the opportunity for this brand. Our Made in the USA supply chain is in place and we've started to ramp up production across our manufacturing system to support overall demand. On the front end, we have integrated all the order to cash distribution and marketing functions to support our American Apparel Printwear business and we are in the process of assessing how to leverage this brand in e-commerce and retail. So, in summary, as I said at the beginning of my remarks, despite mixed market conditions, the first quarter has started us off well and in line with our expectations, setting us on track to deliver our full year guidance, which we reconfirmed in our press release today. We reiterated our projection of adjusted EPS in the range of $1.60 to $1.70 for 2017 on overall high single-digit sales growth for the year. You may recall that when we gave guidance in February, we indicated that the cadence of earnings growth will be weighted to the first half of the year, given the timing of acquisitions made last year and the impact of higher raw material costs, which we expect later in the year. We continue to expect adjusted EBITDA to be in the range of $555 million to $585 million and we continue to project strong free cash flow above $400 million for the year. Wrapping up. Beyond our good start to the year, we remain very pleased about our prospects and the plans we are putting in place to position the company to drive future long-term growth and strong shareholder returns. We're executing on all fronts of our strategy, including driving sales growth, generating cost savings, investing in our vertical manufacturing capabilities, expanding capacity, executing accretive M&A and returning capital to shareholders. Thank you. And I will now turn the call back over to Sophie.
Sophie Argiriou - Gildan Activewear, Inc.: Thank you, Rhodri. That concludes our formal remarks. Before moving to the Q&A session, I ask that you limit the number of questions to two questions in order to give everyone the opportunity to ask a question. We will circle back for a second round if time permits. I will now turn the call over – back to the operator for the question-and-answer session. Danielle?
Operator: Thank you. We will now begin the question-and-answer session. We have our first question. Our first question comes from Martin Landry of GMP Securities. Go ahead, Martin. Your line is now open.
Martin Landry - GMP Securities LP: Hi. Thank you. Good evening. The first thing that stands out for me is your corporate expenses. I think they came in at around $20 million for the quarter, and it looks like it's the lowest it's been in more than three years. Wondering if you can talk to that a little bit, give us a little bit more color as to what's driving that decline on a year-over-year basis.
Rhodri J. Harries - Gildan Activewear, Inc.: Well, Martin, if you look at corporate expenses, actually as with all of our expenses across our organization, I mean, we're working hard to make sure that we manage corporate expenses, we manage our SG&A and we leverage it as best we can. So I think what you're really seeing ultimately if you look at the way that corporate expenses have rolled out in the quarter really is all of that activity that we're working on to really manage those costs to the lowest level possible as we drive all our businesses.
Glenn J. Chamandy - Gildan Activewear, Inc.: And don't forget, we've made – like we keep saying particularly in branded, we put an infrastructure in place to drive sales as well as we've been able to optimize all the acquisitions from an SG&A perspective as well, which is obviously going to be where our synergies are coming from these acquisitions. So those combined was really giving us SG&A leverage.
Martin Landry - GMP Securities LP: Okay. And the second question I have is on American Apparel. Now that you have a couple of months of post the acquisition, I'm wondering if you can talk a little bit with regards to your strategy online and also your strategy with department stores.
Glenn J. Chamandy - Gildan Activewear, Inc.: Okay. Well, I mean, look at – for us, we couldn't be more excited about American Apparel. I think this is going to be a great, great acquisition for us. It's still obviously early days. We're in the process of ramping up our manufacturing for U.S. as well as our overall manufacturing to support the demand for the product. We have a lot of demand in the Printwear area not just in the United States, but we have a lot of demand in every one of our markets. So this is really a brand that we think that we can definitely leverage quickly through all of our markets, Europe, in Asia, et cetera. So, once we get up and running in capacity, that will really be impacting – we'll start seeing some of that impact in Q4. But really in 2018, we're very excited about how we can position once we get the inventory online. We also really spent a lot of time, it's been two months. What we bought in this company was the brand and a little bit of inventory. So, basically from a ground-starting start, basically we've integrated all the styles, the products, the product development, the order to cash, the distribution, the IT systems. This is completely integrated into our systems. There are some things at distribution that still needs to be finalized as we consolidate from some of the distribution centers, but in all intents and purposes, we're ready to roll once the product gets rolling. The real focus right now obviously is to get delivery, get our customers and stock to the level that we need to be, which will materialize in Q2, and then roll this thing out to new customers internationally as we go forward into 2018. And simultaneously to that, I think, the real focus in the short-term in terms of planning would be to leverage what we think is going to be an online business. Part of our investment this year in capital is to invest in our distribution strategy. And that distribution strategy is a combination of investing in – moving some of the American Apparel but it's also investing in our e-commerce strategy, which will allow us to support not just American Apparel but all of the Gildan family of brands in the future. And so, we think that this is a good catalyst to really support direct online e-commerce strategy. At the same time, we also think that there's runway to support direct-to-consumer through retail. We haven't decided our strategy totally on that yet, but that's something we'll define over the next couple of months. So, all in all, like every one of the acquisitions that we've made starting up with Doris, Comfort Colors, Peds, Alstyle, we're continuing to buy, I think, great acquisitions at very favorable prices that can give good synergies, create long-term shareholder value, give us something that will support our business, either a niche, a product, a channel, so we're really excited about American Apparel. It fits perfectly into our sweet spot, and we think this one's going to be a big home run for us.
Martin Landry - GMP Securities LP: Okay. Thank you very much.
Operator: And our next question comes from Kenric Tyghe of Raymond James. Go ahead, Kenric. Your line is now open.
Kenric Tyghe - Raymond James Ltd.: Thank you. Good evening. Glenn, it would appear, given your organic growth, that the retailer door closings in the quarter had very limited impact on your branded segment performance. Could you speak to how you manage to mitigate those pressures in the quarter or rather how you mitigated them so successfully and where the wins were in the quarter that largely offset those pressures that seem to have created headwinds for some competitors?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, we definitely had the headwinds because, I mean, our Gold Toe business basically was down relative to where it was last year. So – but the real thing, I think, for us is that what we're doing is, we're mitigating obviously – and mitigated the exposure by investing heavily in our brand strategy. And the success of what we see in our underwear strategy has proven to offset the negative decline of some of the closing in, I think, the department stores. Our underwear business is up 30% over last year. We've gained 270 bps in market share. And that's' – our brand strategy is working, and it's like anything else. We've put in position. We've made the investments. We're spending the capital consistently each year. And if you're consistently misspending the money, it pays off over time. And it's just a matter of time till we keep continuing our momentum in branded. And we're very pleased with our performance. We think we can still do better. And we're looking forward to the balance of the year.
Kenric Tyghe - Raymond James Ltd.: Thank you. And then, just on the balance of the year, could you provide some sort of an update? I realize it's just a little early, but on the back-to-school discussions and perhaps the pricing around those discussions.
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, I mean, look, as far as we're concerned, we don't really want to discuss that. But I'll tell you that one of the things we're excited about back-to-school is two things. One is, our market share has done very well, but this does not include any of the new products for shelf space we've gained in 2017. So we will see continued momentum in our market share and our growth in underwear, and hopefully socks as we go through the balance of this year. We did do a price increase in underwear during the quarter. And obviously we didn't see any affect in our POS. So we're very excited about the fact that we were able to take a modest price increase and at the same time continue our strong POS.
Kenric Tyghe - Raymond James Ltd.: Thanks very much. Congrats on the quarter. I'll leave it there.
Glenn J. Chamandy - Gildan Activewear, Inc.: Thank you.
Operator: And we have our next question from Sabahat Khan of RBC Capital Markets. Go ahead, Sabahat. Your line is now open.
Sabahat Khan - RBC Capital Markets: All right. Thanks. So just first one on the NCIB. You bought back about roughly half of the amount. Can you maybe comment on your plans for the rest of the year, and if it's possible you might increase it similar to last year?
Rhodri J. Harries - Gildan Activewear, Inc.: Look, I think, what we're very pleased about is our strong free cash flow, the fact that we have the ability to focus on all of our priorities. The buyback is one of those priorities. And we are pleased with the progress that we've made in the first quarter – in April. We're looking to execute the remainder of the program over the rest of the year, and then we'll go from there. So, right now, I would say, we're pretty happy with effectively our ability to focus on all our priorities, and we really have a number of priorities growing the business. Obviously we continue to be focused on M&A when it comes available to us and buying back stock also as the third priority in our capital return program.
Sabahat Khan - RBC Capital Markets: All right. Thanks. And then, just on the branded side, you mentioned earlier that you had 30% POS on the underwear side. Just so I understand, I guess, the sell-through seems to be very strong, but in terms of selling, I guess, where the retailer is not replenishing to that extent or was a pullback in the Gold Toe business maybe offsetting some of that? I guess...
Glenn J. Chamandy - Gildan Activewear, Inc.: No, we didn't have any destocking this quarter. So we basically – we sold all of our POS. Our inventories are basically in the beginning and closing quarter. We're basically the same in those categories, and that was strictly POS. We definitely lost a little bit of underwear – I'm sorry, of a private label that we forecasted earlier in the year for about $7 million, and we had a slight decrease in Gold Toe in the department stores and national chains. But that was all offset by the strong growth in our underwear.
Sabahat Khan - RBC Capital Markets: All right. Thanks. And then, just one last one. Just a follow-up on the commentary about, I guess, the online channel. Do you have, like I guess, a timeline of when do you expect to have like a direct-to-consumer side up? And in the interim, I guess, are you still pursuing to the same extent with your strategy with brick-and-mortar and online guys with regards to those stores?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, look, I mean, part of our capital spend this year is going to be really to focus on our e-commerce. We're spending our capital in two areas. One is, we're gearing up a dedicated e-commerce group that's going to focus on driving our sales for e-commerce. That's through our customers like SVS service people, who are investing to service Amazon and get our products listed there as well as our other customers. And we're going to be investing in capital investments and distribution capacity because that's a real distinction in terms of being successful in e-commerce is being able to ship, because it's a different skill set to ship to a consumer by the piece, consumer-ready versus shipping brick-and-mortar retailer. So that's something that we're investing in. We're going to be leading that investment with obviously – which we really think is a big opportunity in American Apparel e-commerce opportunity. We just launched a brand-new Gold Toe site for e-commerce, and we're also going to be updating our Gildan site very shortly in the next coming months. A lot of our advertising spending is being spent on digital and social. You can look and basically Google some of the new advertising we have this year. We're really focusing on the millennial. So all this is all part of what's driving our e-commerce and how we're continuing to drive a strategy that's not just focused on e-commerce, but it's focused on our brand to support our e-commerce growth, our brick-and-mortar's growth, and also to be able to just support the overall growth of all of our brands to consumers down the road.
Sabahat Khan - RBC Capital Markets: Thank you.
Operator: And we have our next question from Anthony Zicha of Scotiabank. Go ahead, Anthony. Your line is now open.
Anthony Zicha - Scotia Capital, Inc.: Hi. Good afternoon. Rhodri, could you give us a bit of color in terms of what was the organic growth rate during the quarter? And what part of that was due to price increases?
Rhodri J. Harries - Gildan Activewear, Inc.: Tony, if you look at the quarter, our sales were up 12%, $72 million. Effectively, $60 million of that was related to acquisitions. If you look at the balance, then was related to organic growth. But don't forget, we exited $7 million of private labels, and we had some foreign currency headwind also. So, if you look at the quarter, effectively our organic growth did come through. I think we were very happy with the double-digit growth in fashion basics. Very happy with the momentum in the international markets. And obviously, in Branded Apparel, very pleased with about what went on with underwear. So, overall, we did see that organic growth coming through in parallel with the acquisitive growth.
Glenn J. Chamandy - Gildan Activewear, Inc.: And the price increase was negligible in the quarter in terms of revenue, was part of this question, right?
Anthony Zicha - Scotia Capital, Inc.: Yes.
Glenn J. Chamandy - Gildan Activewear, Inc.: Yeah. It was negligible.
Anthony Zicha - Scotia Capital, Inc.: Okay. And Glenn, when we look at the price inflation, we've seen cotton going up. How quickly can you pass on a price increase in the Printwear versus the branded channels or retail channels?
Glenn J. Chamandy - Gildan Activewear, Inc.: Look, in Printwear, we can continue to pass price on as we see cotton moving forward. So, we'll continue to increase our prices in Printwear, need be, based on the future price of cotton. I mean, I think that's a given for us.
Anthony Zicha - Scotia Capital, Inc.: Okay. And then in the retail channel?
Glenn J. Chamandy - Gildan Activewear, Inc.: The retail channel, look, we are so far below the competition in price. We just did a price increase. We think it was successful. We'll continue to look at, as we evaluate next year and our cost structure based on future cost of cotton and then, look, there's still room for price increases in retail as well based on our positioning in the market today.
Anthony Zicha - Scotia Capital, Inc.: Okay. Thank you very much.
Operator: And we have our next question. Our next question comes from Stephen MacLeod of BMO Capital Markets. Go ahead, Stephen. Your line is now open.
Stephen MacLeod - BMO Capital Markets (Canada): Thank you. Good evening. Just on the Branded Apparel business, as you look through 2017, you obviously came off a strong Q1 and I just wanted to get a sense as to what you're expecting in terms of further private label exits. And potentially also any new program wins that you expect to impact either the first half or the second half of the year?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, for the full year, we had $7 million in the quarter. For the full year, it's $20 million, the impact of the private label. And all the programs that we have so far this year in our shelf space are factored into our guidance that we issued back in February. Obviously, we're continuing to look at new opportunities, but they're not in our forecast. But what we had in-house is in our forecast as of our time we issued guidance.
Stephen MacLeod - BMO Capital Markets (Canada): Okay. That's great. And then, on the price increase that you took in branded segments, was that a price increase that was coincided with the launch of a new value-add product or was it a price increase that was put through on existing product that's on the shelf like your sort of entry-level product in the mass channel?
Glenn J. Chamandy - Gildan Activewear, Inc.: Existing product in the entry-level mass.
Stephen MacLeod - BMO Capital Markets (Canada): Okay. Okay, great. And then, just finally, on the private -sorry, on the Printwear business, can you just talk a little bit about what you're seeing in terms of market conditions? I mean, at Q4, you decided them as being okay. Has that changed at all as you've gone through the first quarter?
Glenn J. Chamandy - Gildan Activewear, Inc.: No, they're just okay. They're not robust, I would say. The fashion basics' performance are doing well. Our core basics are not doing as well as them. But overall, it's still driving slight gains, but it could be better. I can tell you that. That's for sure.
Stephen MacLeod - BMO Capital Markets (Canada): Okay. Okay, that's great. Thank you.
Operator: And our next question comes from Mark Petrie of CIBC. Go ahead, Mark. Your line is now open.
Mark Petrie - CIBC World Markets, Inc.: Hey. Good afternoon. I just wanted to follow up actually on the U.S. retail landscape and wonder if you could just provide a little bit more color. It sounds like mass has stabilized, department stores remain weak, but what about other channels for you guys like dollar, national chains, sporting goods and specialty?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, dollar is doing good, and the off-price is doing very well as well. Those are the areas, I mean, it's mass, off-price basically, are still doing quite well. And obviously, e-commerce is growing. And I think those are the engines that are moving the market today. So, the good news for us is that that's really where our focus is. But I think, if you look around, my personal opinion is that consumer spending is weak in general right now as we're pretty cautious in terms of how we see things, to be perfectly honest with you. And that's not just in the apparel space, but it's iPhone sales, car sales, I mean, it's just sort of – it's a little bit everywhere. So, we're cautiously optimistic. We think that we're positioned right and we're going to continue to execute with all of our opportunities. There's the new shelf space we're getting, the better placement we're going to have. So, we think we're comfortable with our guidance. If business was better, we would do better. I mean, that would be like the way to look at it. I mean, I think we feel comfortable with what we've guided to. If the markets improve, hopefully we'll exceed our forecast.
Mark Petrie - CIBC World Markets, Inc.: Okay. That's helpful. And I guess, with that landscape in mind, could you just sort of revisit and elaborate on how you look at M&A today? What segments do you find attractive within your existing business maybe to fill in? And then, how would you prioritize that versus perhaps a new category that could expand your footprint?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, sometimes with acquisitions, you can't necessarily get picky because it's what comes available at a given time and point, right. So, if you look at the strategy, I think that we're consistent looking at either a brand, a channel, a product, something that will give us opportunities to support our organic growth. So, every one of the acquisitions that we've done in the last five of them, they're priced right. They get high IRRs. There are limited risk. They're easy to integrate. So, we basically set a criteria up for us that basically that will allow us to drive top line sales, drive bottom line earnings, generate free cash flow and continue to grow the business. So, if any one of these materializes, they'll meet our criteria. And we're investing not just in one of our market segments, we're investing in both. I mean, Peds is today fully integrated. If you look at the SG&A and branded this year, it's flat year-over-year compared to last year because we integrated the Peds brand fully into our organization. So, those are the types of things, and we put the product where – our low cost manufacturing, and then et cetera, et cetera. So, as long as we keep looking for the right deal, the right acquisition that fits our criteria and we stay true to our course, I think that we'll continue to deliver a long-term shareholder value.
Mark Petrie - CIBC World Markets, Inc.: Okay. Thank you very much.
Operator: And we have our next question. Our next question comes from Derek Dley of Canaccord. Go ahead, Derek. Your line is now open.
Derek Dley - Canaccord Genuity Corp.: Yes. Hi, guys. Just a question on some of your large retailer partners on inventory and destocking. Have you guys seen any movement on that to a more normalized buying pattern?
Glenn J. Chamandy - Gildan Activewear, Inc.: No, I think our inventory is pretty well normalized. And basically what we sell we replenish as we go forward, and the inventories have come down to a level that or sufficient with our large customers' requirements, and now basically we're on a – as you sell, you replenish basically on the basis of going forward.
Derek Dley - Canaccord Genuity Corp.: Okay. Okay, that's it for me. Thank you very much.
Glenn J. Chamandy - Gildan Activewear, Inc.: Thank you.
Operator: And our next question comes from Tal Woolley of Eight Capital. Go ahead. Your line is now open.
Tal Woolley - Eight Capital: Thanks. Good afternoon. Just wanted to talk about inventory churns. You're up about $100 million – or sorry, about $80 million year-over-year at 10% or so in line with your sales. You've done a couple of acquisitions. Are there any opportunities on the working capital side for you to take that number down?
Glenn J. Chamandy - Gildan Activewear, Inc.: Yes. Look at – I mean, we're working diligently on our inventory. One of the things, obviously through acquisitions, they bring more SKUs and more product. But as we said, the same token, we think that there's still room to continue working on our working capital. I think it's top of mind for the management of the company this year. In fact, all of our business units have incentives to make sure that they maximize their working capital. So there's definitely room to bring down our inventory levels. They may not come down in lower number, but in absolute number maybe stay the same as we continue to grow our sales basically and just be more efficient on the inventory that we do have on hand. It might be just a different way of looking at it as we go forward.
Tal Woolley - Eight Capital: Okay. And then, just secondly, on the move in cotton, have you seen any evidence of pre-buying or stocking up by the distributors, given the run-up in the price?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, I mean, first of all, the price hasn't run up tremendously. That's number one. Two, the inventories in the channel are pretty much in balance right now. So we feel comfortable with the levels of inventory. I mean, typically this time of the year, they do go up because distributors carrying inventory at the end of Q2 to support April, May and June, which are the largest POS months of the year, and then as they go towards end of the year. So, if you measure the inventory in the market in March versus you measure it in December, historically it always goes up and always comes down. And it's in line with last year.
Tal Woolley - Eight Capital: Okay. That's great. Thank you very much.
Operator: And we have our next question from Andrew Burns of D.A. Davidson. Go ahead, Andrew. Your line is now open.
Andrew S. Burns - D. A. Davidson & Co.: Thanks. Good afternoon. Just a higher level question. Now that you have your USA supply chain built out for American Apparel, just wondering what that could look like in the coming years. I believe you're using contracted manufacturing now. Would you think about investing directly beyond the yarn facilities? And could you leverage the Made in the USA component to maybe some of your other fashion basic brands over time? Thanks.
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, I think right now, look, I mean, first of all, we have a large USA component in general in all of our cost of goods sold because of the huge amount of yarn spinning we do have in the United States. So that's first and foremost. Secondly, look at – we've established a requirement for Made in the USA, which in the case of American Apparel is large, but it's not necessarily large in the scale of Gildan. So we've been able to hook up with partners for the assembly of the American Apparel product in the USA, which we're very comfortable with. And we see that being a good partnership. At the same time, a lot of the growth that we will have with American Apparel will come from other markets outside the United States like, for example, Europe, Asia. And for those markets, we need to support the product out of – more of the Central America regular manufacturing facilities. So, it depends on where it goes. We've got a lot of flexibility. I think, foremost, I mean, we're very excited about the brand. We think it's got a lot of legs. And that combined, not just from the Printwear perspective, but we think that there's a huge e-commerce and retail opportunity here as well. So, we'll see how it goes and we'll adjust our manufacturing. I mean, the most important thing, I think, you can take out of this acquisition, there's no company in the world that can buy a brand with the amount of product SKUs that they have in February and be fully in stock with it three months later in a cost structure and manner to support a major launch of the product. There's just nobody else in the world that can do that, right. So that just pulls to the strength of what we've been able to deliver in our manufacturing. With all the investments we made and the skill set that we've been able to develop, it's just phenomenal. So we're very excited about it, proud of the people in our organization, and we're looking forward to good sales in American Apparel as we go forward.
Andrew S. Burns - D. A. Davidson & Co.: Thanks and good luck.
Glenn J. Chamandy - Gildan Activewear, Inc.: Thank you.
Operator: We have our next question from Keith Howlett of Desjardins. Go ahead, Keith. Your line is now open.
Keith Edward Howlett - Desjardins Securities, Inc.: Thank you. Just in terms of the 30% POS growth of men's underwear, how would that 30% breakdown between sales at same doors and new doors? I mean, is it ongoing growth in existing doors or...
Glenn J. Chamandy - Gildan Activewear, Inc.: But most of it is – we didn't really open new doors, we just took more space and more products in the existing doors we're in. So it's just a constant development of the retail partners that we have that's really driving the opportunity and the sales increase.
Keith Edward Howlett - Desjardins Securities, Inc.: And then just in terms of the Alstyle manufacturing facility, could you update us on whether you've Gildanized that at this point and what you're going to deploy it for?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, we'll Gildanize it for sure because it's running really well, and it's producing good returns for us. It's not fully ramped up. We have room to still grow obviously, because we support the growth of the company. But at the cost structure, the plant is performing very well. Right now, it's supporting some product that we're supporting into the Mexican market. We're looking even to expand into Mexico as we speak is one of the reasons why we were interested in the opportunity. From Mexico, we can also service other markets in the Central American region through other trade legislation that Mexico has with these other countries. We're supporting obviously our West Coast opportunity that we originally bought the business. So we know it's running well and we have lots of growth potential. And again, it's just another one of those acquisitions, I think, that's just was perfect. We've got a – for $110 million, we bought a manufacturing asset that is the size of one of our Rio Nance facilities. It gave us diversification, another geographical diversification for our textiles. We picked up sales, working capital. So, look at them, this is a very lucrative acquisition for Gildan, and we're going to continue to grow it as we go forward, just like the other acquisitions we made.
Keith Edward Howlett - Desjardins Securities, Inc.: Just on the performance segment in Printwear, are you satisfied with your brand lineup and performances?
Glenn J. Chamandy - Gildan Activewear, Inc.: Am I satisfied? I'm never satisfied. Otherwise there'd be no opportunity, right? So, the answer is no. But, I mean, I think, one of the things we've been able to do is build a good product line. This year, we're launching polyester fleece for the first time, and some other new core styles that are in the Performance segment. So, it's growing. The only caveat, I would say, with that is that polyester in the Printwear market is not as relevant as cotton, because it's much more difficult to screen print on. But at the same breadth, I think that what's happening is that there is new technology that's coming out, digital printing, for example, versus traditional screen printing that will allow printing on polyester to be more cost effective. So, when you digital print, for example, on polyester, you have to put it on a piece of paper and then put the sublimation on the polyester or you screen print it, and it's a very difficult process. So, once that happens, I think it will continue to grow. I think where polyester is being used today is more in the Little League Baseball, things that are more performance, jog, runs, et cetera, et cetera. So it doesn't have the everyday lifestyle yet in the Printwear market like it may have in some of the sporting goods segments.
Keith Edward Howlett - Desjardins Securities, Inc.: Thank you.
Operator: And our next question comes from Brian Morrison of TD Securities. Go ahead, Brian. Your line is now open.
Brian Morrison - TD Securities, Inc.: Hi. Good evening. Can I just get a little bit more color on the 210 basis point gross margin improvement in Printwear? Can you maybe just allocate what would be pricing, what would be manufacturing raw materials and what would be operating leverage? And just subsequent to that, were the realized cotton costs down year-over-year?
Rhodri J. Harries - Gildan Activewear, Inc.: Yes. I mean, if we take a look at Printwear and we look at the impact, I mean, really – as we said, really we saw in both business units, right. We saw really the net impact of pricing of the manufacturing cost savings and we also saw the impact of raw material costs. So the net of all of those, we saw driving the margin improvement. We also, to a certain extent, saw some mix. So, if you look at that, we said that effectively that would be coming through in the first half. And then, as we move into the back half of the year, obviously that really starts to diminish and you start to see the impact of raw material costs really pushing up overall, so that we have a neutral – sort of more of a neutral impact. So it's a combination of those things that we're really driving the gross margins in the first quarter.
Brian Morrison - TD Securities, Inc.: But, sorry, did I hear Glenn correctly earlier saying that pricing was negligible?
Rhodri J. Harries - Gildan Activewear, Inc.: Well, we try to sort of – if you look at it, we bucket it together. We saw some small impact on price, we also saw manufacturing cost savings, and then we obviously saw some cotton costs coming up. So, all of that together really was driving that gross margin improvement.
Brian Morrison - TD Securities, Inc.: Okay. Maybe I can come at this – maybe this question is a little unfair, Glenn. But in terms of your guidance, your EPS is up $0.11 this quarter. If we just look at your guidance for last year, you add that up, that's $1.62 for the year. If you're active with your buyback, you're probably midpoint of your guidance. So, if I listen to some of the commentary on the call, you've got continued market share momentum, you've got potential for price increases relative to the headwind of raw materials. But if I look at your guidance, is your expectation really for little or no growth in earnings for the remainder of the year?
Rhodri J. Harries - Gildan Activewear, Inc.: Well, again, our growth of earnings is weighted to the first half of Q1 very definitely. And then as you look at Q2, we see some of that growth, and obviously it becomes more difficult in the second half. And then, obviously we do have a mixed market environment that we're working within as well. So, I think we had said very definitely higher first half, then obviously a much lower second half as you see those higher cotton costs coming through.
Glenn J. Chamandy - Gildan Activewear, Inc.: And then, the environment is not great. So, I mean, truthfully is if the environment is better than and picks up from relative to where it is today, obviously that will be a positive to our earnings for this year.
Brian Morrison - TD Securities, Inc.: Okay. Great start to the year.
Glenn J. Chamandy - Gildan Activewear, Inc.: Thank you.
Operator: And I'm showing no further questions at this time. I'll now turn the call back over to Sophie.
Sophie Argiriou - Gildan Activewear, Inc.: Thank you. Before ending the conference call, I would like to remind you that Gildan will be holding its Annual Shareholders Meeting tomorrow at 10 A.M. Eastern Time here in Montreal at Le Windsor. Therefore, we're not going to be available for questions tomorrow morning. However, we will be available this evening for the next little while to take any follow-up questions that you may have. Once again, I'd like to thank everyone for joining us today and we look forward to speaking to you very soon. Have a good evening.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.